Operator: Good morning, and welcome to Crown Holdings' Fourth Quarter 2014 Earnings Conference Call. Your lines have been placed on a listen-only mode until the question-and-answer session. Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. John Conway, Chairman of the Board and Chief Executive Officer. Sir, you may begin.
John W. Conway: Thank you very much. Good morning, everyone. With me on the call are Tim Donahue, President and Chief Operating Officer; and Tom Kelly, Senior Vice President and Chief Financial Officer. I will make some brief introductory remarks regarding the Company’s performance in the fourth quarter and full year and then turn it over to Tom Kelly who will take you through the numbers and give you some additional detail. Tim Donahue will very carefully review the performance of the various businesses and discuss our views as we look ahead as well. Let me remind you that on this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including comments in the section titled Management’s Discussion and Analysis, the Financial Condition and Results of Operations in Form 10-K for 2013 and in subsequent filings. Crown finished 2014 with a very strong fourth quarter with sales up 3% over 2013 and segment income up 14% versus the prior year, in spite of adverse currency and aluminum premiums. Our full year performance was exceptionally strong by every measure, including sales up 5.1% and segment income up 9.5%, cash from operations of $940 million and free cash flow of $612 million. Earnings per share increased 14% without any share repurchases and in spite of higher tax rate. Altogether this was the best year for our company in its recent history and validated our focus on strong organic growth, continuous improvement in all aspects of our operations, and seizing strategic opportunities as they become available such as our two highly valuable and accretive acquisitions in European food cans and Mexican beverage packaging. Updating you on the acquisitions of Mivisa and EMPAQUE, the integration of Mivisa is complete and went exceptionally well to the point where we no longer are distinguishing it internally and will not distinguish it in these remarks from the rest of our food business in Europe. We are awaiting word from the Mexican competition authorities about EMPAQUE, but are hopeful that we will have a positive result in the near term. Looking back, 2014 has been productive and full of activity that has strengthened the company. Tim Donahue will describe the many steps taken to continue our growth development improvements. You may be surprised by the extent of our actions, which of course, always speak louder than words. Turning to 2015, we are pleased to report that it will be another outstanding year for the company with increasing sales and income and very strong free cash flow. Our approach remains unchanged which is to maintain our focus on metal packaging with good diversification, both from a product standpoint and geographically. Before I turn this over to Tom Kelly, to give you further details on our performance and a description of our expectation for 2015, it would be well to take note of the recent announcements regarding the combination of two of our competitors. We will not be commenting on that transaction during this call and will not take any questions concerning it. We thought it would be best to make this clear at the outset. So, with that, I'll turn it over to Tom.
Thomas A. Kelly: Thank you, John and good morning everyone. Diluted earnings per share were $0.12 in the fourth quarter of 2014 and $2.82 for the full year. Diluted earnings per share on a comparable basis were $0.48 in the fourth quarter of both 2014 and 2013 and $3.41 for the full year as compared to $2.99 in the full year of 2013. Net sales for the fourth quarter increased 3% over 2013 primarily due to contributions from the Mivisa acquisition that closed in April of this year, partially offset by negative currency impact of $90 million. Segment income for the fourth quarter was $193 million with the improvement over the prior year primarily due to higher profits in Americas Beverage and European Food. Our adjusted income tax rate of 25% for the year is in line with our previous guidance. Free cash flow of $612 million for the year was well in excess of our previous guidance due to a number of factors including our ability to apply Crown's working capital policies and procedures to the Mivisa operations. Looking ahead, we currently estimate 2015 full year comparable diluted earnings per share between $3.50 and $3.70. This guidance assumes that 2015 exchange rate of $1.13 per euro and 10 months of EMPAQUE results. The impact of a stronger dollar reduces our 2015 earnings per share by $0.25 compared to what earnings would have been if 2014 actual rates were used to translate 2015 results. In other words, the midpoint of our range of $3.60 would have been $3.85. Note that this is a translation issue only as we manufacture our products in the regions where they are sold and hedge any significant foreign currency transactional exposures that arise. To quantify the translation sensitivity of our net income to movements in euro we estimate that a one U.S. cent change in euro exchange rate has a net earnings impact after tax and interest of approximately 1.2 cents per share. Our leverage ratio is generally unaffected by movements in the euro as the net debt-to-EBITDA ratio in our euro based operations is comparable to our overall leverage ratio. We currently project 2015 first quarter comparable diluted earnings per share of between $0.47 and $0.53 per share versus $0.57 in the first quarter of 2014, reflecting currency movements and a difficult comparison in our European Beverage segment as the impact of higher aluminum premiums did not affect our 2014 results until later in the year. We currently project 2015 full year tax rate consistent with our 2014 rate of approximately 25% although it may vary from quarter-to-quarter. We also project full year 2015 free cash flow of at least $550 million with approximately $350 million in capital spending. The impact of the stronger dollar in 2015 reduces our free cash flow by 30 million compared to 2014 constant currency basis. I'll now turn it over to Tim.
Timothy J. Donahue: Thank you, Tom and good morning to everyone. As both John and Tom discussed, 2014 was another year of progress for Crown. Segment income improved 9% for the year and 14% in the fourth quarter as the benefits from the Mivisa combined with solid operating performances across our operations offset the impact of unfavorable currency translation and record high aluminum delivery and warehousing premiums. In Americas Beverage, fourth quarter sales volumes advanced 3% over the prior year as North American volumes which were up about 0.5% were bolstered by 8% higher Latin American volumes which for Crown consists of operations in Brazil, Colombia and Mexico. During 2014 we further expanded our specialty product mix across the business with the completion of two new high-speed multi-sized can lines in Brazil, including a new line at the new Teresina plant and the installation of a third production line in the Cabreúva plant. So-called specialty cans, that is cans other than the standard 12-ounce can now represent 35% of our Brazilian sales which we believe is in line with the market. We also converted two standard can lines to sleep four [ph] format, one in Ft. Bend, Texas and the other in Guadalajara, Mexico. Additionally, and as described previously, we entered into a definitive agreement to acquire EMPAQUE, the leading beverage manufacturer in Mexico. Crown has been present in Mexico for more than 75 years across multiple product lines and we look forward to the expansion of our presence in this growing market. So, all in all solid operating performance in 2014 combined with high return capital deployment gives us promise for continued growth in the future. Performance in North American food remained strong throughout 2014 with full year segment margin 15.7%. Food team continues to execute well and the benefits of our low cost platform offset slightly lower volumes in 2014. Our European Beverage business posted a strong result in 2014 on the back of higher volumes from operations in France, Spain and the UK which offset softer volumes in Jordan and Saudi Arabia, higher aluminum premiums and unfavorable currency translation. Fourth quarter segment income was impacted by aluminum premiums and $2 million of currency although much of that was offset by our efforts to continue to reduce cost and improve manufacturing performance. During 2014 we initiated the conversion from steel to aluminum in our Custines, France plant by installing a new high-speed aluminum beverage can line. We expect the line to be in commercial production three months from now. Additionally, several investments were made to expand non-standard 33 centiliter capability with so-called specialty cans. Specialty cans now comprise 60% of this segment's unit sales. In 2015 we project further volume growth, but as Tom discussed unfavorable currency translation and higher aluminum premiums will provide a difficult comparison for the business in 2015 particularly in the first half. European Food volumes improved 32% in the fourth quarter due primarily to the inclusion of the acquired Mivisa assets and also to continued strong performances in France, Germany, and the UK as well as from new food can operations in Dubai and Turkey offsetting $5 million of currency in the quarter. As John noted earlier, the integration of Mivisa into Crown Europe has progressed according to plan and to date has included numerous actions such as the movement of production volumes among plants to enhance service to customers and the consolidation of operations in the UK and Africa, where we have closed food can plants in both Ghana and Senegal and consolidated that production in Mivisa's new production plant in Ghana. We continue to review our new low cost production base at Mivisa to optimize our European Food operations. While currency will have a dampening effect in 2015, we fully expect segment income in the European food business will increase over 2014 levels as a result of the additional contribution from Mivisa in the first four and a half months as compared to last year. Unit volume sales of beverage cans were flat in Asia-Pacific in the fourth quarter as growth in Southeast Asia was offset by softness in China. For the year, the division recorded 11% volume growth with improvements in China and from newer facilities in Sihanoukville, Cambodia, Bangkok, Thailand, and Danang, Vietnam all recording their first full year of operations in 2014. Segment income benefited from continuing manufacturing improvements across many facilities offsetting the impact of a stronger U.S. dollar against most Asian currencies at an increasingly competitive landscape in China which we see continuing into 2015. In non-reportables we had a strong finish to the year. Each of the businesses, that is aerosols in North America and Europe, European specialty packaging, and our equipment manufacturing business CMB Engineering, all performed well, somewhat offsetting the challenge in aerosols of a decrease in the use of shaving foam and gel due to consumer trend toward shaving less frequently. In early 2015 we anticipate completing the sale for four industrial specialty packaging plants to HUBER Packaging Group of Germany as soon as the local consultation procedures have been completed. So in summary, a real good performance in 2014 and with the activities we completed in 2014 and have underway currently, we are confident in further improvement in 2015. Lastly, before I turn it back over to John, I want to acknowledge Ray McGowan, who retired as President of the Americas Division earlier this year. With more than 40 years in the packaging industry, Crown was fortunate to have Ray for the last 13. I know I speak for everyone at Crown in thanking Ray for his leadership in continuously improving all facets of our Americas businesses, including safety, quality and profit performance. I would also like to take the opportunity to recognize the team at CMB Engineering who was the winner of the Queen's Award for International Trade in 2014 marking the second time in the last four years that they have been recognized. In a ceremony last month Her Royal Highness, Princess Anne toured the factory and presented the award to honor their achievement, a proud moment for the entire team. And with that, I'll turn it back over to John.
John W. Conway: Thank you, Tim and Shirley [ph] I think we're ready for questions.
Operator: Thank you at this time we're ready to begin the question-and-answer session. [Operator Instructions] And our first question comes from George Staphos with Bank of America Merrill Lynch. You may ask your question.
George L. Staphos: Hi everyone. Thanks for taking my question and congratulations on the year and a good ending to 2014. I jumped on late, so I don’t want to ask questions you may already have covered, but just quickly can you comment at all on how the pricing environment is developing in China and Asia into 2015? Secondly, in Brazil or in the Americas you did a lot better than we were modeling, that’s not a here nor there, but I was wondering how much of your progress versus your plant was driven by Teresina and if you could provide any other highlights in the Americas? Thanks and I'll jump back in queue.
John W. Conway: Oh George, just on China, firstly pricing in China obviously has trended downwards in the fourth quarter of 14 as we move into 15 and it still remains under pressure and I'll leave it at that. But it's fully baked into our estimates that Tim or Tom provided earlier. On Brazil, if you've missed the comments, obviously we opened Teresina. We also put a specialty can line in the Cabreúva where we're making all the sizes from 9-ounce up to 18.6-ounce and that's going quite well. The Brazilian market a little bit soft after the World Cup let's say in September, October, November, December was quite strong. January is very strong although I'll mention to your that Carnival is two weeks earlier this year. It's in the middle of February as opposed to I think, March 4, or 5, last year, the start of Carnival. So we'll have a very good performance from January 1 right up to February 17, 18. Things will slow down a little bit in about the back half of the first quarter and then we start to accelerate again in the second quarter.
Thomas A. Kelly: Yeah George, I will just add to that the good news in China is demand continues to be quite strong. I mean sales were up 11%, 12%, 13%, across the market last year. Fourth quarter was slower for this Chinese New Year was later unlike Carnival. So, but any of that, you know, but the problem continues to be the problem which is supply has been outrunning demand a little bit and we saw it in the prices. Southeast Asia we're doing very well. The markets continue to grow and then pricing is stable and we continue to grow. So I think that's good news.
George L. Staphos: He John, one quick one here, I apologize and again if you mentioned on the call already I apologize. The asbestos provision ticked up a little bit, I mean these are not big dollars obviously, thankfully, but anything that we should be aware of in terms of a trend changer? Thanks and I'll turn it over.
John W. Conway: No it really isn’t. If you remember, we're looking 10 years ahead, adding a year and making some small adjustments and we look over the last five or six years nothing alarming in this. We go up and down a little bit, it seems like every year.
George L. Staphos: Okay, thank you.
John W. Conway: You are welcome.
Operator: Thank you. Our next question comes from Philip Ng with Jefferies. You may ask your question.
Philip Ng: Hey good morning. Your Europe food business was pretty week and margin improvement decelerated a touch. What drove this shortfall? Was that some pull forward in Q3 and it didn’t sound like you had any integration issues on Mivisa, but can you kind of call how we should be thinking about some of these going forward?
John W. Conway: Well, I assume you're talking about European Food because you'd be hard pressed to characterize our North American food business as weak.
Philip Ng: No, European Food.
John W. Conway: Okay. European Food, I think what we would tell you after the Mivisa acquisition is the business is now more seasonal than it was in the past, meaning that the fourth quarter going forward will be a smaller quarter relative to the overall food performance. Mivisa, far more weighted towards fruits and vegetables and little to no pet food or ready meals, which are soups and stews, which are more stable throughout the year. So the fourth quarter just becomes a smaller quarter relative to the overall campaign.
Philip Ng: Okay, any color or update on how we should be thinking about revenues from Mivisa in 2015?
Thomas A. Kelly: I think we're moving along quite well. I think we are on track to meet or exceed the prior synergy numbers that Tom provided last year, which was €20 million to €25 million I think in total, you know, full year and so that will be achieved through the end of '16 with more advancement made in '15.
Philip Ng: Okay, and then for CapEx guidance for 2015, are you baking in any growth projects and how much of that is tied to EMPAQUE?
Thomas A. Kelly: Obviously EMPAQUE has a capital plan and when we acquired EMPAQUE we knew of that capital plan. So on the order of $25 million to $35 million perhaps is the EMPAQUE plan. It's a number of operations as you know not just beverage cans, but bottle caps, aluminum roll on closures for the growing bottle market in the States and also glass, although there's not a lot of spending in glass forecasted and beyond that we'll let you know the projects as we get further underway.
John W. Conway: Just to add, I mean as we always do our emphasis as you know in capital is on growth and that emphasis hasn't changed. So we're always focused on growth and 2015 CapEx carries that on.
Philip Ng: Okay and just one quick last one. Your guidance for 1Q, you're forecasting Euros step down on a year-over-year basis and there will be some offsets or headwinds on the premium front, but it also implies basing your full year guidance in Euros will pick up in the coming quarters. Can you talk about the bifurcation?
Thomas A. Kelly: Yeah, Phil, you have currency obviously, you have the premiums and remember we did have lighter results in the Middle East in the second half of the year and a real strong first half last year, so that will also impact comparison.
Philip Ng: Okay, all right. Thanks.
John W. Conway: You're welcome.
Operator: Thank you. Our next question comes from Adam Josephson with KeyBanc. You may ask your question.
Adam J. Josephson: Thanks, good morning everyone and congrats again on your free cash flow this year. Tim, can you talk about your pricing outlook for European food cans this year just based on your negotiations to-date?
Timothy J. Donahue: I think I would characterize it as stable to modestly up.
Adam J. Josephson: Is that based on, can you parse that out at all between Mivisa and the now EMPAQUE? Okay just on EMPAQUE have your D&A expectations for that acquisition changed since you announced the deal just acknowledging you haven’t closed it quite yet?
Timothy J. Donahue: No Adam, it's essentially in line with our original estimates.
Adam J. Josephson: Okay and just one on capacity utilization in North America bev cans, can you just hazard any rough estimates as to what you think utilization rates are in North American bev cans and do you think there is a need for capacity reductions in the foreseeable future based on your forecast?
Timothy J. Donahue: I think we're all pretty well utilized, you know from time-to-time there is excess capacity, but that excess capacity doesn't exist in any one region or any one location. I would characterize utilization you know, 91% to 93%, 91% to 94%. Keep in mind that with the conversion of the business slower than a new ramp up, but the conversion of the business of specialty cans, there is less capacity when you're doing changeovers than if we were running straight out on 12 ounce, but I think as an industry and at Crown we're in the low to mid-90s utilization. I don't see right now any need for capacity to come out.
Adam J. Josephson: Tim, thanks a lot, I appreciate it.
Operator: Thank you. Our next question comes from Chris Manuel with Wells Fargo. You may ask your question.
Christopher D. Manuel: Good morning gentlemen and congratulations for the strong cash year.
John W. Conway: Hi, Chris.
Christopher D. Manuel: I wanted to kind of focus on two things, well first just a quick one, did I hear correctly that you're anticipating EMPAQUE closes, I guess pretty directly that you have effective in your numbers for March going forward is that right?
John W. Conway: Yeah, we're hopeful. We've been working with the Mexican authorities as they've requested us to and we think it looks pretty good, but we will wait and see, but yeah, we think planning for March inclusion is appropriate.
Christopher D. Manuel: Okay, that's helpful. So kind of few questions, first when I think about where you are a little bit around European Beverage if we could, where you are as you sit today with how much premium headwind did you have in 2014? What do you have embedded into 2015 as you sit at current levels? And maybe there kind of an update on the process of how you anticipate beginning recovering or are you able to begin to recover some of those and then what the market is like? Is it tight, is it, how are you feeling the capacity there?
Thomas A. Kelly: Chris, I'll give you the numbers and then John can comment on the second part of the question. As far as the impact in 2014 it cost us about $17 million and looking ahead to '15 at the rates we have in the budget is about $20 million additional.
John W. Conway: Yeah, as far as recovery Chris, there has been little or no sign of pass-through premium in the European Beverage can market and as you know, I think we've got about 18% of the market, so we tend to be a follower in that regards. So don't expect price relief associated with premium.
Christopher D. Manuel: Okay, that's helpful, and my second question is, as we look at your free cash flow numbers for 2015, 550 can you maybe help us with a few of the underlying components there, it sounds like change in pension, what would you have embedded for working capital, et cetera?
Thomas A. Kelly: The working capital improvement is about $50 million to $75 million.
Christopher D. Manuel: Okay and pension change?
Thomas A. Kelly: Pension cash somewhere between $75 million and $80 million.
Christopher D. Manuel: Okay and D&A stays about the same or…?
Thomas A. Kelly: No, D&A will be up with the addition of EMPAQUE. We're probably looking about 250 for D&A for 2015.
Christopher D. Manuel: Okay, that's helpful. Thank you, I'll jump back in the queue.
Operator: Thank you. Our next question comes from Ghansham Panjabi with Robert W. Baird. You may ask your question.
Mehul M. Dalia: Hi good morning. It's actually Mehul Dalia sitting in for Ghansham. How are you?
John W. Conway: Good morning.
Mehul M. Dalia: Good morning. Can you parse out volumes in Europe and the Middle East for bev cans in 4Q, I'm just trying to see if there was a bifurcation there?
John W. Conway: Yeah, you know in what you would characterize is Europe was flat in the quarter, up a few percent for the year and the Middle East was in the quarter down high single digits, down mid-single digits for the year.
Mehul M. Dalia: Are you expecting a similar type of trend in 2015 in both regions?
John W. Conway: I think we expect growth in the low-to-mid single digits in Europe and as Tom mentioned earlier, we would expect a little bit of contraction year-over-year in the first half of the year in the Middle East and in the back half of the year it flattens out.
Mehul M. Dalia: Great and just as a follow on, if I read into your comments earlier on Brazil correctly, it seems like you're still expecting growth overall in Brazil bev cans even with the tough World Cup comp, did I read that correctly or…?
John W. Conway: As we said there will be a number of things that impact Brazil. We have an earlier Carnival this year. So the so-called season will come to an end two weeks earlier. Obviously we don't have World Cup, but the market does continue to grow. I think fillers recognize and consumers do prefer cans in the Brazilian market and we expect growth to accelerate again in the back half of the year resulting in an overall growth in bev can sales in Brazil.
Mehul M. Dalia: Great, thank you.
John W. Conway: You're welcome.
Operator: Thank you. Our next question comes from Debbie Jones with Deutsche Bank. You may ask your question. 
Debbie Jones: Hi good morning.
John W. Conway: Good morning.
Thomas A. Kelly: Good morning.
Debbie Jones: You talked about continuing to focus on growth and I was wondering if you could just kind of compare what we've seen over the next, last one to three years globally and what you kind of expect to see over the next two to three years and if there will be opportunities for Crown to continue to kind of invest in organic new capacity?
John W. Conway: Well, I'll focus principally on beverage, because I think that's probably your question.
Debbie Jones: Yes.
John W. Conway: Asia we think will continue to grow. China we imagine will continue to grow double-digits as the entire market for all beverages, Asian drinks, beer, soft drink continues to grow and conversions continue particularly in beer from one-way glass to the cans, so that should be good from a growth perspective. Southeast Asia, we expect the same for the same reasons. Brazil, we think this year as Tim mentioned, we think there is going to be some continuing growth this year notwithstanding the outstanding '14 that we just had, but slowing down, probably low single digits the next several years, although a function of the economy. North America I won’t go into, you're familiar with the trends there. Europe we think as Tim said it should continue to grow in the 2% to 4% range. A lot of it beer, but a lot of it has been soft drink as well. So and again packaged mix is driving it a lot and the Middle East is frankly just a function to a great degree of the degree of you know, upheaval that they have and overall trends are good, demand trends are good. There's room for a lot of growth, but of course month-to-month, week-to-week, quarter-to-quarter hard to know what's going to happen. So we think the general situation, Mexico continues to grow and we think there's going to be a substantial continuing packaged mix change there from glass to beverage can. So we think the overall situation is quite good.
Debbie Jones: Thanks and then I guess on South America, are you fully ramped up the two new lines that you've brought on in 2014? And then can you just comment on how your customer mix may have impacted your results in the quarter and expected to impact results in 2015?
John W. Conway: Customer mix where?
Debbie Jones: In Brazil and I guess just beyond kind of the mix of your customer, if you had any customers that were gaining share in the market that may have helped you in your results?
John W. Conway: Well, I remember what you're referring to. Our customer mix will not change much in Brazil, '15 versus '14 and yes in answer to your question, yeah, the new capacity is running full and well and so we anticipate another reason why we anticipate a strong year in Brazil.
Debbie Jones: Okay and just last question. The electricity headwinds for you guys in 2015, are you able to quantify that?
Thomas A. Kelly: Nothing, significant for us.
John W. Conway: I think partly you need to keep in mind we're all familiar with the drought and we all know that Brazil generates a lot of electricity from hydro, but the drought is not having an equal affect throughout the country. So we have one fairly large plant in the middle of the country. It would appear that some of our competitors have many more plants in the middle of the country. So we seem to be far less affected by electricity energy.
Debbie Jones: Okay, that's helpful. Thank you. I'll turn it over.
Operator: Thank you. Our next question comes from Chip Dillon with Vertical Research Partners. You may ask your question.
James Armstrong: Hi, it's actually James Armstrong sitting in for Chip. Most of my questions have been answered, but I've got one. Could you talk about the U.S. food can business? One competitor is building a new plant and another recently built a new plant, how is Crown's CapEx in this segment in 2013 and 2014 compare with prior years and what's the outlook for CapEx in 2015 and 2016?
John W. Conway: Well, if we're talking about North American Food, I would say that we have a very low-cost platform from which we operate in North American Food which is largely responsible for the higher margins that we enjoyed and perhaps some others do. We don't have a need to spend capital in that business currently. You know, capital each of the last couple of years and even next year not any more than a handful if you will in millions of dollars,$5 million, $6 million and that will be a lot for us. Commenting on the recent capacity additions, one of them is on the West Coast, where we don't really participate in two piece or three piece cans, so it has no impact on us and the recent announcement that you're referring to it does appear that one of the other competitors is trying lower the cost profile by consolidating several activities into one facility, but other than that you'd have to ask them. I can't comment on it.
James Armstrong: Okay, that helps, thank you very much.
John W. Conway: You're welcome.
Operator: Thank you. Our next question comes from Scott Gaffner with Barclays. You may ask your question. Scott, please check your mute feature.
Scott Gaffner: Thanks, good morning everyone.
Thomas A. Kelly: Good morning.
John W. Conway : Good morning Scott.
Scott Gaffner: Tom, just a quick followup on the pension cash first. I think you said $75 million to $80 million in 2015. How does that compare to the 2014 pension cash and can you talk about the longer-term outlook on cash contribution?
Thomas A. Kelly: You know, pension cash in 2014 was $81 million. The difference is purely lower exchange rate, translates to a lower number and that's essentially the number we would expect going forward pretty much flat.
Scott Gaffner: Okay and did you talk about on the pension expense, I assume you have some headwinds as we move into 2015, can you talk about the pension expense headwinds?
Thomas A. Kelly: Yeah, I did mention it so far. So we had $56 million of expense in 2014 projecting about $45 million in 2015. We had the same discount rate and mortality table headwinds that everyone else had, but in our case we actually benefitted from a lower inflation rate environment in U.K. which more than offset those headwinds to bring the number down.
Scott Gaffner: Okay, and then a little bit broader question, when I look at North America, can you talk about any opportunity around specialty cans? I don’t know if I heard you earlier talk about conversions of lines into specialty can, but if not can you talk about the opportunity there and can you also talk about what you're seeing in the promotional activity from some of your customers especially on the CSD side, have you seen that pick up at all?
John W. Conway: You know, we're seeing what others were seeing. Our customers were showing increasing interest in specialty cans using packaging as a way to generate some excitement and respond to some of the concerns about caloric content and so forth. So we're sensate with that and Tim mention that we're responding to it and we'll continue to do that, otherwise we think our customers in soft drink side are going to put a big push in this year to try to turn things around and we wish them well.
Scott Gaffner: Thanks, good luck throughout the year.
John W. Conway: Thank you too.
Operator: Thank you. Our next question comes from Mark Wilde with Bank of Montreal. You may ask your question.
Mark Wilde: Yeah, just a couple of questions and pardon me if I am crossing over familiar ground here already, but did you give numbers for Mivisa from both a revenue and an earnings standpoint last year?
Timothy J. Donahue: For '14 no, we did not.
Mark Wilde: Can you give us some idea what that might look like?
Timothy J. Donahue: I think you know the numbers that we would have announced or referred to when we made the acquisition. We don’t have our actual numbers as we have them because we've integrated the business, but I would tell you that you shouldn’t expect that there are anything other than at least what they were when we bought the business and slightly up given the strength of the pack we have this year.
Mark Wilde: Okay, that's helpful Tim. The other question I had and just a small one, but I noticed that the asbestos number was up about $10 million dollars. Can you give us a little color there? I would have thought that those numbers would continue to decline gradually over time?
John W. Conway: Yeah Mark, that was asked and answered a little while ago and if you'll recall you may not. We're projecting constantly 10 years forward, so we're adding a year and making some adjustments over nine and so this number is well within a range that we've been out with for the last five, six, seven, eight years, so we don’t see anything alarming in it and no, we read nothing into it at all.
Mark Wilde: Okay. The last question I had John, just if you look down in Brazil, I mean the per capita consumption of beverage cans is so much higher than you see in a lot of other emerging markets. Do you have any thoughts on why that is so in Brazil and whether there is any sort of upward cap on that?
John W. Conway: I think Mark, the capita consumption is reasonably high. I haven’t checked it, I think of it more in terms – we think of it more in terms of package mix and I think what you're referring to is correct. Package mix in beer is quite high and the reason for that is that, okay the last couple of years growth in Brazil has not been particularly good, but over a 10-year period it's been very good and consumer spending has been up quite a bit and there have been a lot of government policies to try to improve incomes of the lower middle income, middle income people and that's coincided with the brewers pushing the growth that they have into cans. So all the growth has been coming in cans plus conversions and then if you read about Brazil you know that buying practices have changed. Many more big supermarkets, people are going and takeout is becoming a bigger and bigger method for consumption of everything including beer. So, it's just been a great run for the brewers and it has been a great run for the can company. That's really why, but I don’t think it's not a hell of a lot different than what we've been seeing in Southeast Asia for example. Okay, they are not nearly far along in terms of retail sales, etc, however, the brewers and for growth they are all pushing cans and they are really moving from returnable glass to cans and very little interest in one-way glass.
Mark Wilde: Okay, all right. That’s helpful. Thanks John 
John W. Conway: Yep.
Operator: Thank you. Our next question comes from Al Kabili with Macquarie. You may ask your question.
Al Kabili: Hi, thanks, good morning and sorry if you covered this already, but just as it relates to the first quarter guidance and then relative to the year, it looks like 1Q is down year-over-year on relative to improved earnings for the full year and can you just help us with the puts and takes of you know, the progression how you factored the progression in earnings for the year?
Thomas A. Kelly: Yes, the main headwinds are going to be currency premiums which didn't really kick in as much until the second half of the year and Middle East, we had, numbers got a little softer in the second half of last year, but was strong in the first half. Those are the three primary reasons.
Al Kabili: Okay, thanks for that Tom, and related to the Middle East, have you seen any incremental degradation going on given the political strife, et cetera?
Thomas A. Kelly: The Middle East is hard to talk incrementally. I mean, the things swing wildly week-to-week there in terms of when you can ship, where you can ship and so forth. So no, we haven't seen any real change in the last month. I mean, it's been weak in the second half of the year for all the reasons you know and it is carrying on that way in our view at least in the first half of the year.
Al Kabili: Okay, but as far as the earnings are going, it hasn't taken a further step down more recently versus the run rate in the back half. Okay, that's helpful. Just last question for me and I'll turn it over. Just on the BPA legislation in France just wondering if you could update us on how you're working through that and if that's having any impact on the European food can business?
Thomas A. Kelly: Well, as you know, the French legislation applies to France and you may have recently seen European Food Safety Agency, administration did a thorough study, looked at everybody's studies at length and concluded that BPA does not constitute health hazard and they were very definitive in that. Unfortunately so far, the French are peering on. We've made plans for it, so we are fully prepared to comply with the French law and it's in our, the numbers and projections that we've given you for '15.
Al Kabili: Alright, thank you very much. Good luck.
Thomas A. Kelly: You're welcome.
Operator: Thank you. Our next question comes from Alex Ovshey with Goldman Sachs. You may ask your question
Alex Ovshey: Thank you, good morning guys.
John W. Conway: Good morning.
Thomas A. Kelly: Good morning.
Alex Ovshey: Thank you. You mentioned the divestiture on the industrial side, would you be able to tell us the expected proceeds and associated EBITDA with the sale timing?
Thomas A. Kelly: Yes, neither one considerable, I'll just leave it at that.
Alex Ovshey: Okay got it, and then pro forma leverage, can you just update us where you are with EMPAQUE and if there is an upper bound to how you guys think about where leverage can go?
Thomas A. Kelly: At the end of the year it will be about 3.6 times with the addition of EMPAQUE that will pick up about half a turn to 4.1 or so, and then by the end of 2015 will be back in the mid 3s.
Alex Ovshey: Very good Tom, and then last one. On the food can pricing side, is that done in Europe for '15?
Thomas A. Kelly: Yes, largely done and we characterized it earlier as stable to modestly up.
Alex Ovshey: Great, thanks everyone.
Thomas A. Kelly: You’re welcome.
Operator: Thank you. Next question comes from Tyler Langton with JPMC. You may ask your question.
Tyler J. Langton: Yes, good morning. Thank you.
John W. Conway: Good morning.
Thomas A. Kelly: Good morning.
Tyler J. Langton: Yes, just on Asia beverage with the volume decline there, you have to keep profits relatively flat. I was wondering if you could talk about was that cost cutting or was it better performance at some of the newer plants, just any color there will be appreciated?
John W. Conway: Well, profits weren't, I mean volumes weren't down. They were down in China, but they were up in Southeast Asia, they were flat overall.
Tyler J. Langton: I am talking about revenues are being down 3%, sorry.
John W. Conway: Okay, well, some of that has to do with the pass-through of lower aluminum cost as it's priced in LME or Shanghai. So I wouldn't get too concerned, but largely the answer to your question as it relates to profitability has to do that three of the newer factories that we opened in mid-to-late '13 in Southeast Asia experienced their first full year of operations in '14 and combining that with not only in those three plants, but continuous manufacturing improvements in several other newer plants.
Tyler J. Langton: Got it. Okay and then as you sort of lookout into '15 can you give a sense for sort of when you look at Southeast Asia and China sort of volume trends for this year?
John W. Conway: I think we expect volume to be up in both China and Southeast Asia and as we said earlier pricing will remain competitive in China and pricing is stable in Southeast Asia.
Tyler J. Langton: Got you. And then if I missed it Tom, I think you mentioned premiums was $17 million impact for '14 in Europe. Do you know what they were for the fourth quarter in Europe?
Thomas A. Kelly: Yes, $7 million.
Tyler J. Langton: Got you, okay. Thanks so much.
Thomas A. Kelly: You're welcome.
John W. Conway: Welcome.
Operator: Thank you. Our next question comes from Adam Josephson with KeyBanc. You may ask your question.
Adam J. Josephson: Thanks for taking my follow up. John or Tim, one of your competitors recently talked about a move among your customers toward global supply contracts. Can you provide your views on that topic? Thanks very much.
John W. Conway: Yes, some of our customers have more of an interest in this. I think what we've seen so far is if you end up with a number of regional negotiations that are done at more or less the same time and sometimes in the same place, so often not even that. So you know, it's a little more time consuming for us and maybe a little more expensive in terms of travel to meet the customers' wishes. However, the outcomes are not all that different because supply-demand dynamics, cost dynamics, currencies all of that vary so much from market-to-market. So we're not unduly alarmed by it or it's not a good thing or bad thing. It's just a little bit of a different thing.
Adam J. Josephson: So you don’t expect it to have a much of any impact on you in the years to come?
John W. Conway: No I don't and I think as I said for all the reasons I just mentioned.
Adam J. Josephson: Thanks John.
John W. Conway: You're welcome.
Operator: Thank you. Our final question comes from George Staphos with Bank of America-Merrill Lynch. You may ask your question.
George L. Staphos: Thanks for taking my follow-on again. Apologies if you already discussed this. You know, just as we take a step back and look at the industry over the last four to six quarters since, for eight quarters there's been a lot of change in the can business, a lot more capital allocation discussion, even more recently some things in the headlines relative to your peer companies. John, do you think your strategy changes at all given the new factories going in and some of the potential moves by your peers, or you think your strategy pretty much stays the same and in answering the question, why do you see your strategy work in the same way or why you see it evolving over time? Thanks and again good luck on the quarter.
John W. Conway: Hey George, are you referring principally to food in North America?
George Staphos: I am referring to food in North America, but potentially other moves that we've seen as well?
John W. Conway: But were…
George Staphos: Discussion points?
John W. Conway: Yes, okay. As Tim said earlier, the food in North American situation is going on. We don't feel that we're going to be very affected by it and we think we understand what our customers – what are some of our competitors are doing. We have consolidated our food can business dramatically over the past 10 years. It's been long enough ago, so you've forgotten, I've forgotten myself and a lot of it, but we've done a lot of work in that regard. So we've got the right number of buildings. So you can always do a little bit more and we're very, very low caution. You see it in our margins. It's a consequence. In fact we are low cost. So what we see now is some I would say a little bit of catch up by some competitors are doing things to try to improve their cost situation and we're not alarmed by it and we're not surprised by it. If anything you might argue it's somewhat overdue. Beyond that, as we said at the outset we're not really, we don’t think we should comment and we're not going to comment on this other beverage combination. We'll just have to see where it goes.
George Staphos: Okay, fair enough. I'd had missed that. Again, good luck on the quarter guys.
John W. Conway: Thanks George.
Operator: Thank you. At this time I'll turn the call back over to the speakers.
John W. Conway: Good. Well Shirley, thank you very much and everybody, thank you for joining us on the fourth quarter '14 call and we look forward to seeing you and speaking with you next time. Good bye.